Operator: Good morning, ladies and gentlemen, and a warm welcome to the H1 2025 Conference Call of the DEUTZ AG. Please note that this call is being recorded, and a replay will be available on deutz.com later today. Your participation in the call implies your consent to this. In Cologne, I'm pleased to welcome DEUTZ CEO, Sebastian Schulte; and CFO, Oliver Neu. Sebastian will begin the presentation with the key figures of the first half year of 2025 and then walk you through the progress made in the business units. Oliver will then provide you with the financial details of H1 and an update on the Future Fit cost program. And Sebastian again will conclude the presentation with a look on the guidance and which we will move over to the Q&A session. And as always, please note the disclaimer, especially regarding forward-looking statements. With this, I hand over to you, Sebastian.
Sebastian C. Schulte: Yes. Thank you very much, Sarah, and good morning here out of Cologne to everyone who dialed in for our half 1 numbers presentation 2025. And indeed, we are quite pleased to look back on a sort of very decent start into the year 2025, although we are all, as everyone playing in this industry currently are certainly facing quite an interesting situation from an economical point of view. But you will see with our numbers that we are progressing pretty well. And as our headline as well, we have started into this year with a very, very profitable growth and in particular, the development of our portfolio, particularly the transformation of DEUTZ from a pure engine player to a solutions company is beginning and is increasingly paying off. What does it mean in numbers? New orders were up 30% year-over-year, now yielding a bit above EUR 1 billion. And sure, strongly supported also by the effects from our latest acquisitions, particularly in the business unit Energy. And these effects from the latest acquisitions, they did overcompensate the still fairly weak engine demand, which is still in a challenging situation. Revenue was up 15% year-over-year, a bit above EUR 1 billion as well. And here also our M&A activities are supporting strongly, but also the service business, which we continued to grow if we compare to the previous year's number as well. EBIT margin, 4.7% after 6 months, second quarter, a bit up against the first quarter, still 1 percentage point down year-over-year. And there is still some negative impact from the low production volumes in our heritage engine business. But as I said, we see a positive trend in the second quarter and also the transformation of our business models with M&A, but also, as Oliver will point out later, the effect of the very successful cost programs supporting here the bottom line. And free cash flow was EUR 14.4 million, significantly up compared to year-over-year, and we have a bit of a normalization in the second quarter after a very, very strong quarter 1. But all in all, I think we can proudly say it's been a decent start into this first half year. If we move on to the next page, please. I want to give a couple of highlights in each of our verticals. So let me start with engines. Very good sign that we -- one of our recent development -- own developments in the DEUTZ TCD 3.9 engine. That's been an engine or that is an engine, which DEUTZ co-developed with John Deere out of the United States. So a very successful partnership. Both engineering teams and purchasing teams worked together and shared work packages. It's a brand-new engine, state-of-the-art technical concept, 1 platform, which ranges from 75 kilowatt up to 130 kilowatt and has a significantly better peak performance than its predecessors. And we see now quite a good and strong demand from very, very good and strong international OEMs. We did also sign the first large-scale contract with a leading European construction machinery company for reasons of confidentiality, we are not disclosing the name as of yet, but that is filling the pipeline for the second half of the sort of next 5 years when the demand and then the production for the 3.9 will ramp up as planned. Another successful milestone or cooperation is regarding our cooperation with Indian agricultural company, TAFE. Just a couple of weeks ago, we celebrated the groundbreaking for the production line in Alwar in India. A group of us, including myself, was there in India together with the CEO of TAFE and we celebrated as groundbreaking, as I said. So that means the project is very well on track for the start of production beginning of 2027. This year, 2025, we concluded the supplier nomination because it's not only about assembly in India, it's also about sourcing of parts in India to realize cost improvements, but also resilience in the supply chain. Design approval processes have been concluded, and we are now finalizing the IT interfaces because in the future, the production and, obviously, the supply chain for these engines will be fully integrated in our DEUTZ IT systems next year. We're working on the C- sample readiness, validating the engine and obviously, then also inaugurating the assembly line so that we early 2027 will be able to start serial production out of Alwar, complementing our production footprint, which is then even more global than it is right now. If you move on to the next vertical, the service business. In service, as you all know, it's always been, I would say, a cash cow, very successful and supporting foundation of our business. One thing is, obviously, bringing great engines into the market. The other thing is then to be able to service these engines reliably, fast and really meeting the customers' demand because that's one of the aspects which distinguishes DEUTZ from its competitors. And in this successful business for us is about growing, including organic growth, of course, but also inorganic growth via merger acquisitions. And a couple of examples we brought today is our strengthening of the industrial fleet service in Spain, we have been appointed as the authorized technical service partner for JLG. JLG is one of our largest U.S. American customer, obviously, with sales and equipment operating all over the world. JLG, as you may know, is a leading manufacturer of aerial work platforms and telehandlers. And now we are accompanying their journey together also in Europe. So the idea is that, we're becoming a one-stop shop for all what their customer needs for the engine, but also beyond the engine. And so, that means including the entire machine. We do on top of that partnership in Spain, we're also expanding our network together with JLG also in the U.S., most recently in Nevada. The other aspect or the other milestone we'd like to share with you is that, we have signed the purchase agreement for our long-lasting Turkish DEUTZ distributor. And so that we are able also this growing on interesting, very important market to growing continue, but also grow our business in this region. We're talking not about a huge transaction or a huge acquisition here, but it's a revenue of roughly EUR 10 million on an annual basis and as always, in service with a double-digit EBIT margin achieved by, give or take, 50 employees. The application areas here in Turkey is mainly mining, construction and power generation. And these are all application areas where the combustion engine, the ICE will become or will remain relevant in many, many years to come. Let me move on to the next vertical, new technology. Last time, we already mentioned the acquisition of UMS, Urban Mobility System, a Dutch specialist for the electrification of off-highway vehicles, but also increasingly working on the military space. The closing occurred at the beginning of June 2025. So we are following on here a fairly light integration approach, similar to what we've been doing with Blue Star Power Systems in the United States. We want to keep the entrepreneurial spirit and their strength, whilst also obviously leveraging and utilizing what DEUTZ brings to the table, the scalability competence, the network, customer access, financial strength, all these sort of things. But the most important thing is, we don't want to kill what makes them very, very interesting and attractive for us. That founder and previous owner last call, he's fully integrated in our business unit leadership for new technology, and he's now leading the technology part in the business unit, new technology. And we can give a couple of examples of what UMS has been doing since we acquired UMS. So 1 nice example is an electrification of a Liebherr 916 e excavator for a German construction company. And this Liebherr 916 is a 24-ton crawler escalator, which when it comes out of the factory is equipped with 115-kilowatt engine. So it's on a sort of larger scale, and it shows that electrification is not only sort of a niche technology for very, very small and compact construction equipment, but also for medium-sized and potentially also for larger size in the future. The other example which we'd like to share is the Hyundai HX85. That is a compact excavator that is an 8.5-ton equipment where when it comes out of the factory with an ICE, it's just powered by a 48.5 kilowatt ICE. So here, it's a bit more obvious to use electrification, but we are showing here at UMS and we'll continue to show that this technology fits for a large area of applications. And as you write here, there is more to come, and we will share more in the coming months and quarters. Let's move on to the next vertical, Energy. Last year, a bit more -- roughly 1 year ago, we closed Blue Star Power Systems and Blue Star is continuing their growth. They're very profitable growth, very happy with the development. Market demand is still strong. Blue Star under the ownership of DEUTZ is continuing to acquire new customers. Profitability in the first half was roughly 20% operationally. So that's really strongly supporting our P&L development. Blue Star secured an important contract with a major U.S. retailer. So adding to the already very, very successful business with another very large U.S. American retailer. And obviously, now it's about creating and harvesting synergies and further growth opportunities with our DEUTZ service network, which is in the U.S. very strong and was still getting stronger there day by day. So we're using our technicians from the various DEUTZ power centers across the nation in the U.S. from all over the country. They've been visited -- they're visiting Blue Star to be trained on the genset so that we do more than just bringing the equipment into the field, but also training it, servicing it, maintaining it. So that's a success story so far, and we are extremely confident to continue the success story. The other asset we have in our portfolio when it comes to genset is Magideutz in Casablanca, Morocco. Here is a transformation. We're developing here an asset which comes out of a fairly difficult situation, but we've appointed a new Managing Director early this year coming from a global state-of-the-art competitor. There's a new Technical Director about to start, and we're seeing great first progress here in developing Magideutz in the field of our Energy business. We are also -- which is not written on here, we're also continuously scanning the market in Europe, but also in other jurisdictions to see where we can realize further growth, including also mergers and acquisitions. Let me move on to the final vertical, our very recently established business unit defense. We have established that business because we are -- as an engine company still, that's where we come from. We want to provide power for those who protect. And I think that's a very strong statement, which makes us very proud to be more and more active in this field. So we created a business unit defense, which bundles technology and offerings DEUTZ already had in the past years, but never really utilized for the defense sector. The focus market here is currently twofold. It's mobility and energy solutions, in particular, obviously, for the European defense segment, but also service, spare parts business to ensure that these engines, these equipment remains operationally ready and stable when it's needed. So it's our ambition here to merge our different technologies to deliver specific solutions for the customer needs and then become more and more like a recognized market participants among all defense stakeholders. So when a customer thinks about an engine, in a mobile equipment or in a genset, well, we want them to think immediately about DEUTZ. And we see over the last month more and more interest in that we are for reasons of confidentiality, we cannot provide as many details as of yet. But what we can say that we are engaged in a number of promising projects. One is the V8 Powerpack, which we're developing together with RENK for the repowering project. Another one is that, we are delivering quite a large number of engines for the power supply of very renowned air defense systems, which is in use by many, many NATO countries. And we are also delivering engines for military vehicles also in the sense of repowering, which are active in the Ukraine, and there is also more to come. Let's move on, please. And with that having said, I would like to hand over to Oliver, as CFO, who will provide more details on the numbers. Thank you very much.
Oliver Neu: Thanks, Sebastian, and also good morning, and welcome from my side to our H1 earnings call. So let me start giving you some more background and update on our Future Fit program. As you know, just to recap, our Future Fit program is targeting for at least EUR 50 million sustainable structural cost reduction by the end of 2026. And let me say we are very well on track there. So we recently increased our '25 target, the '25 share out of that to at least EUR 25 million from originally EUR 20 million. So measures are being implemented quicker than originally expected. We have almost 80% of the measures either completed or implemented and running and thereby delivering the effects already. So that means in euros, roughly EUR 10 million savings are already in our H1 results, another EUR 15 million, at least EUR 15 million is still to come in the current fiscal year. One of the most important measures there is the headcount reduction of the 300 FTEs, which we are reconfirming, 225 out of that in Germany, 75 in the rest of the world, 90 left already, 120 will leave until the end of the year and the remainder then in 2026. On the next slide, we see a bit more detail on the H1 business figures. The new orders, they went up by 30%, 30.7% precisely. So that looks very positive. And in fact, it is positive. It's a clear sign that DEUTZ is getting more resilient. EUR 250 million out of the new orders roughly are allocated to M&A transactions. And that means the adjusted order intake, looking purely at the original core business is being more or less flat H1 '24 over H1 '25. So we are not seeing any downturn anymore in the market. We reached the bottom. The question is more when is the order intake taking up again. On the revenue side, we increased 15%. EUR 250 million out of the increase or out of the total order intake in H1 2025 is due to the portfolio measures we've taken, so especially the acquisitions of the Daimler Truck engines and Blue Star Power Systems and the additional M&A transactions we had. So that means organically or adjusted for that, there was a decrease in the revenue, reflecting basically the weaker order intake, which we have seen in the second half of last year. On the EBIT side, in the big picture, you can see a slight drop of EUR 3 million, which is almost constant compared to H1 2024. However, what we need to keep in mind there that both production volume and also sales volume of the Engine segment have been significantly lower adjusted for the portfolio measures. So that is, of course, leading to a lack of fixed cost absorption. On the other hand, we compensated those effects clearly, almost entirely by both the portfolio measures, but also our Future Fit program, which is delivering clear cost reductions. We keep the strict cost discipline, and that is supporting our margins. And even that is nice to see on a quarter-over-quarter view within the H1 2025, we see that the first quarter was at 4.3% margin. The second quarter, we increased it to 5% so that we are year-to-date on that 4.7% margin. Let me move on to the segment view. So here, our segment, reporting segment DEUTZ Engines and Services, so the combustion engine business and the service business for our classic engines. You see here that overall margin was dropping, and that is from 7.8% to 6.1%. That is basically a direct consequence of what I told a slide before. So basically, we see that there was a 12,000 unit drop in production volume and 6,000 to 7,000 unit drop in sales volume of the classic engines like-for-like, so contributing to the fixed cost -- like a fixed cost absorption. On the other hand, the positive measures, especially on the cost side are coming into place more and more and that were clearly supporting the margin view. HJS, the emission aftertreatment supplier, we consolidated since beginning of January, so they are fully in our accounts. On the business unit, service, we see a continuous growth, that's 8% in the year-over-year comparison that is driven both by continuous organic growth, but also by the portfolio measures, especially the service business of the acquisition last year from Daimler Truck, which is since the beginning of January on the service side also fully into our accounts. So service is keeping the strong momentum, is keeping the strong performance and is thereby, of course, with the strong margins supporting our business. Coming to the second reporting segment, which is our -- the next slide, the Solutions business, here we go. We see here the 2, yes, fairly different businesses combined currently under that segment here, that's our Energy business with the gensets. Blue Star Power Systems and Magideutz Sebastian mentioned earlier, and on the other hand, our new technology business. And those 2 businesses are driven by a complete different structure when it comes to earnings. On the Energy side, we see that we have -- we keep the solid order momentum in our H1 figures. So the book-to-bill ratio was at 1.1 with new orders at 100 -- sorry, at EUR 79 million -- the revenue at EUR 79 million, sorry, new orders slightly higher. The adjusted EBIT was at EUR 8 million, and there is important to mention that we have the purchase price allocation effect, which is already deducted here. So you can see that in the footnote of that slide, adjusted for that, we have been almost at EUR 14 million adjusted EBIT with EUR 80 million revenue. So that's a very, very solid margin. We saw earlier that especially Blue Star is running at an operational margin of around 20%. That's bring stability and it's running very stable and growing. The business unit new technology on the other side is a bit more or in the development phase still. So we saw new orders of EUR 12 million, but that is also driven by the first-time consolidation of mobility systems in June. So revenue overall remained rather low at EUR 4.4 million on an H1 level. We are addressing that continuously. We are bundling the sales efforts and are going to see improvements there over time over the next quarters. On the EBIT side, we see now year-to-date minus EUR 18.2 million. So that is basically what I mentioned also in the Q1 results. So we had a front-loaded negative result in the Q1 of minus EUR 11 million, while Q2 was significantly better, minus EUR 6.8 million, so thereby being on track on the new tech business, where we also see the cost reduction, the more focused R&D efforts that are really focused on what the market is demanding. Coming to some of KPIs, basically all on track. So starting with the R&D spending, we had a quota of 4.5% over sales, EUR 45 million. The reduction compared to first half 2024 is basically driven by our Future Fit program, where R&D, as you know, is a significant area of savings. On the CapEx side, we are reducing CapEx to what is necessary. That means in figures, a reduction of 20% year-over-year in the reporting period, which brought us down to EUR 36.4 million in H1. On the working capital side, we are on track here as well, 18.8%, the quota improved. That's a bit driven by accounts payable this time, but structurally, it's completely on track and also showing continuous improvements here. Talking about cash flow or cash flow from operating activities, that's driven -- that's improving, that's besides reflecting the earnings development, of course, then also positively impacted especially by working capital developments that we can directly translates and also in the free cash flow. Free cash flow before M&A activities at EUR 14.4 million, that were significantly better than last year. Adjusted for the M&A activities, so free cash flow after M&A was roughly EUR 10 million lower, so even there on the positive side. Net debt is increasing slightly. That's partially driven to the M&A activity, but also dividend payments and also some cash out on the Future Fit side for redundancy payments. But still debt level totally on track and nothing special on that end. Balance sheet financing dividend, just a few figures here. So our equity ratio is still on a very solid level of almost 46%. There are 2 effects why it's coming down a bit. So on the one hand, the assets increased. That's mainly driven due to the -- or driven by the acquisitions, especially HJS, which I mentioned earlier, but also UMS. And on the other side, the equity is coming down. On the one hand, you have the positive effect of the positive net income. On the other side, you, of course, had also negative translation effects due to the U.S. dollar development, which have brought down a bit the net asset value of the foreign subsidiaries denominated in U.S. dollar. Leverage at 1.5x, so completely within our target range. It came up slightly consequence of the net debt development we saw earlier, but also they are fully in line with all covenants. And it gives us sufficient room for M&A activities. The balance sheet remains strong. So we have debt capacity and are not limited here on the M&A side. Dividends, nothing new with the EUR 0.17 you know, which resulted in a payout of EUR 24 million being paid out after the AGM beginning of May. With that, I hand over to Sebastian again.
Sebastian C. Schulte: Great. Thank you, Oliver, for running us through the numbers. Let me talk a bit about guidance and outlook and before summarizing the call. So first of all, I think that's the most important message at this part here is, we're confirming our 2025 guidance. We do expect a bit of a recovery in the second half of 2025, particularly when we talk about our sort of core application segments and regions in Engines business. We're expecting that after the summer break, we'll see a bit of an uptick when our customers and the customers of our customers return from their respective vacations. We heard it earlier from Oliver that particular also the cost savings of at least EUR 25 million for the Future Fit program have become effective already. There were, of course, a couple of one-off program costs. We classified them more in the first quarter as exceptional items, but that is strongly supporting, especially in the second half of the year 2025. And so, we heard it earlier when Oliver talked about the availability of funds and other means sort of we are planning and working quite actively on scanning opportunities to further grow our business, including also M&A and obviously focusing particularly on the new business lines here. Guidance, that's, as I said, not unchanged, revenue between EUR 2.1 billion and EUR 2.3 billion, margin, adjusted EBIT between 5.0% and 6.0% and free cash flow mid-double-digit million euro amount. Let me briefly summarize the key points on the next slide of this H1 presentation. So first of all, and I think the headline is extremely important. We are transforming DEUTZ from a sort of engine pure play into a more broadly positioned and resilient company. And this sort of change in business model, the transformation, the development of this group it's been extremely important that we kicked that off 2 years ago, 2.5 years ago because now in this difficult economic environment where a lot of other players are struggling, we are beginning to harvest the fruits of that. And that's why I'm saying here with a bit of pride that we made very, very good progress in all our businesses, obviously, strongly supported by the portfolio moves and the partnerships. One of the, I think, important learnings for us it was that in order to be successful on a global scale in this challenging environment, we need to get away from the idea and conviction that we need to do everything by ourselves or to develop everything by ourselves, it's about defining strong partnerships and also developing the portfolio. And as I said earlier, in the Engines business, the cooperation with TAFE is progressing very, very well, serial production in India to start 2027. Service business, we're continuing our growth path, another acquisition signed, the service player in Turkey and more on the radar, so to speak. New tech, we acquired UMS, innovation leader battery electric drives for off-highway, in particular, we closed beginning of June. Lars is leading the technology unit, and we're adding day by day new projects, new businesses here in order to make that segment also larger, greater, more relevant in the months and years to come. And Energy, Blue Star Power Systems continuing to play out strongly, and we're developing or preparing more activities. And, of course, then also the new business unit defense, where we are strategically expanding our footprint using what we have, but also significantly thinking about adding new capabilities here. And last but not least, it's not only about growth, it's also about cost control and with Future Fit, which we initiated autumn last year. We are now ahead of plan, sustainably lowering the cost base by more than EUR 50 million at the end of the year 2026. And you can imagine that's not been an easy journey because we're really reducing structural cost there where it's most expensive here in Germany. But jointly with the union reps and the works council, we found quite a good path. So kind of long story short, we are continuing to transform DEUTZ into something broader, something more resilient, and we're beginning to harvest here the fruits, even though the heritage business, the engine business is from a demand perspective, still quite low. But that means, in other words, as soon as the demand kicks off, well, we're going to grow at scale also on the bottom line on levels which we certainly haven't seen in the last years. In that sense, thanks for your attention on the presentation. And as usual, we are now up for questions.
Operator: [Operator Instructions] And let's take a look in our line. So the first one would be Jorge GonzÃ¡lez.
Jorge González Sadornil:
Hauck Aufhäuser Investment Banking: Well, first of all, congratulations on the strong results, very impressive EBIT development. And my first question is on that front. Can you give us some further detail on the impact of the cost savings specifically related to the reduction of the full-time employees in Q2? And more or less what you are expecting as a run rate in Q3 and Q4, just to -- help us a little bit to adjust our model for the second part of the year?
Oliver Neu: Yes, sure, I can do. Happy to do so. So on the employee side, 300 FTEs in total, we confirmed, as I said, 90 already left, 120 are leaving until the year-end, the remainder then in 2026. So in terms of savings, overall, to module your financial model, it's a bit more -- a bit up to EUR 10 million on savings, which is already H1 in our result. That continues, of course, and then the second half is expected to show at least EUR 15 million. So that on a yearly basis, we're going to see at least EUR 25 million in our results. Majority of that coming, of course, from the FTE side, but also the additional measures on the structural cost reduction. And then next year, the run rate is continuously increasing so that we have the full impact of at least EUR 50 million until next year.
Sebastian C. Schulte: Jorge, just to add one, we leapfrogged a bit and obviously taking out structural costs also outside Germany in the first half because the implementation time is usually a bit shorter and to then further reduce structural costs here in Germany that took a bit longer. But still, I think we can probably say we moved on very fastly, and that's why it sort of what explains the jump in the second half.
Jorge González Sadornil:
Hauck Aufhäuser Investment Banking: Amazing. And in terms of the cash or the payments related, it was very clear that the EUR 25 million will be enough. But how much of this have you already paid in the first half of the year, more or less?
Oliver Neu: Yes. So we have that total provision, which you mentioned totally correctly of roughly EUR 25 million. That will be sufficient for the entire Future Fit program. The cash already spent on the redundancy payments is in a magnitude of EUR 5 million. So the rest is still to come once the people are leaving. So that is still to come over the next 1.5 years.
Jorge González Sadornil:
Hauck Aufhäuser Investment Banking: Okay. Then my second question is on the defense detail that you provided, very interesting. And I was wondering, Sebastian, if you can comment on when do you think some of these projects are going to start contributing into results? And specifically, the partnership with RENK, is this new and complementary to this project that you had for repowering some vehicles in Poland? Or it is also related to that? I don't know if you can give us some view on this? And if you now with these new projects, well, at least for us, if you see a greater contribution that you were seeing from defense, I don't know, 3, 4 months ago, that would be very helpful.
Sebastian C. Schulte: These projects -- this is a new one or a different one from the repowering Poland. But what we can say about all those 3, which I mentioned on that page, without going into details, which I cannot disclose right now, but we're talking about prototypes at shorter notice, but the ramp-up is more likely to happen in the '26 financial year. I think the one which will ramp up most quickly is the one for the defense system here, the air cooled engines we're bringing to the air missile defense system that is ramping up in '26 and spanning over '26 and '27 for this point in time. So -- but that's general statement. I mean, it takes a bit of time to, first of all, win the contracts and then to go from the sort of first sort of small series into midsized series, and we expect to ramp up here, particularly in '26.
Jorge González Sadornil:
Hauck Aufhäuser Investment Banking: Very interesting. And final one from my side. So in terms of the demand pickup timing, are you thinking it could still come after the summer? Or are you expecting it to come more -- even more backloaded? And how do you see this -- I mean, taking into account the conversations you're having with the OEs and also, even some positive comments you put in the presentation regarding the new engine that you developed with John Deere, is some projects accumulated in the pipeline but just waiting for crystallization? Or how do you see this going on?
Sebastian C. Schulte: Yes. So there are 2 different things. The 3.9 with that European construction equipment company, that is -- we just won the contract, and we're mentioning that because it's a fairly large unit contract, it's more than 5,000 units on an annual basis, but that will be delivered, I think, at the end of '27, this will start. So that's a bit of time. But it's important when you bring in a new engine to the market where -- which we are now celebrating SOP as we speak here on -- with the pilot customers. But when you win the first sort of large-scale contract, that's quite a big milestone, and that's why we put it here also in the presentation. But that's, as I said, a bit of a medium-term. The short-term, and that's what I believe your question addresses is that, when we expect the pickup. So at the moment, it's still a bit of a shift. Some construction players in Europe have increased orders. On the other hand, there are some others, particularly out of the U.S. who are still sort of on a bit of a cautious outlook. So that's why we feel the sentiment is getting there. It's getting stronger, particularly construction in Europe, which is not a surprise because the sentiment has been actually pretty good since bauma. But as we often said, Jorge, when we met also on the different occasions, the sentiment has not yet translated into order intake. But as I said, in some subsegments, this is happening. And in others, it's still cautious. So -- but that's typical in this sort of summer break. I mean, we are now the first couple of weeks of August, we're here in Cologne. The factory, the engine production is on the summer break, same as with the majority of our customers, particularly the European one, very particularly the Southern European ones. So the typical momentum picks up in September. And so that's why we're still a bit cautious but with a positive sentiment, right?
Operator: So -- and then we move on with [indiscernible].
Unidentified Analyst: I have just 1 follow-up question on the defense plans you have. You said you'd like to expand the footprint and added -- you would like to add new capabilities. Maybe you can give us an idea what you mean by that? Would you like to acquire something? Or is it more partnerships? What do you think about that?
Sebastian C. Schulte: Well, we are -- let's say, we're starting or we have started our defense business unit focusing on the products we have already in our portfolio to bring them into defense applications. And that's as much as we can very specifically say. But on the other hand, we're also exploring a number of partnerships with industrial players, obviously, always focused around the field of drivetrain of engines, partnerships. Sorry, there is -- someone please could mute the line. So we are exploring also partnerships and on a continuous basis, but you will know that, obviously, this always is in a very confidential range. So we will announce if and when we can, but we are open to growth.
Operator: And then we move on with [ Ralph ]. Unfortunately, we cannot hear you. Maybe you have the wrong device. So maybe you can check on that. And in the meantime, we come back to Jorge, so he has some follow-up questions.
Jorge González Sadornil:
Hauck Aufhäuser Investment Banking: Yes. Well, I can take questions on the morning. But 2 regarding tariffs and Daimler Truck. And now with the -- not totally confirmed, but with the 15% tariff level for the exports into U.S. from Europe. How do you see these levels, Sebastian and Oliver, how this work in terms of your competitive position with other players? Is it still a level that you think allows you to compete more or less at the same level with other players? Or are you planning to -- for some additional measures to compensate for this rumored new tariffs? That will be my first question.
Sebastian C. Schulte: Yes. I mean, first of all, I think the positive thing about that development is that, there is at least clarity to an extent. I mean, we've all heard, obviously, the news this morning on the automotive part. But -- so we believe there is now a clarity. Is this great for our customers? Certainly not. And 15% is more than the 10% we had before. We are in a very close and positive sort of cooperation with our U.S. customers. And they understand that, obviously, this is something where we cannot sort of take the burden for that. And we believe still what we said in the past that with our fairly unique positioning of our products, of our product portfolio in the customers' product portfolio that there is no short-term substitution threat. But obviously -- and I think that's what everyone has to say, we need to continuously investigate going forward. Will we then obviously change a bit of the business model? Yes, we are looking into all sorts of options. But for the time being, I'm happy to or can clearly confirm that we continue to see the demand from the U.S. customers. And we actually believe that with the certainty now which has been given by the recent agreement, that is certainly a positive thing for the business, right?
Jorge González Sadornil:
Hauck Aufhäuser Investment Banking: I remember that previously you mentioned that you were maybe considering to expand your facility in North America depending on the final tariff. But at this point, there is nothing new on this.
Sebastian C. Schulte: No. I mean, we have been all waiting, obviously, for the announcement of the agreement, which is only 10 days old, right? And when I see -- and you always need to think what is -- what would be the appropriate operational answer to a situation like that. And we are investigating this as always, of course, we're continuously investigating also our production footprint, but there's nothing you jump very quickly to a conclusion because you need to really look at it and evaluate it from all angles.
Jorge González Sadornil:
Hauck Aufhäuser Investment Banking: Okay. And just a final one to also have a better understanding for the second part of the year. So Daimler Truck looking to the numbers, I think implicitly contributed quite positively in terms of margins and sales. So I'm wondering if there is a higher seasonality in the first semester of Daimler Truck and we should be careful for the second part of the year. I don't know if you can give us some color here, maybe what are your expectations in a growth way for Daimler Truck in terms of units for the year or profitability, that would be very helpful.
Sebastian C. Schulte: Yes. Let me start. So, I mean, there is obviously a seasonality, but that's not primarily driven by the fact that these engines are Daimler Truck engines. That's more driven by the fact that we have a strong share of 3 sort of large customers. And I think you know who they are, in particular, the 1 large customer is in agricultural. And typically, the second half of the year is not the strongest part in the agricultural business. So we may see a bit of a decline in volumes half 2 versus half 1, but only to then recover in H1 next year again. So that's the top line. What we see at the moment, and that's quite encouraging, the newly acquired business here with the Daimler Truck engines on the service side is actually developing more nicely than expected, both in terms of top line as is always in terms of bottom line. So that's a plus. And the profitability of the business is certainly also not beat our expectations.
Jorge González Sadornil:
Hauck Aufhäuser Investment Banking: Okay. So we can say that Q4 is normally the strongest for the legacy classic, but it is not the case for Daimler truck.
Sebastian C. Schulte: Yes. But we're not talking about huge distortions, particularly in Q4. I mean, we need to -- let's bear in mind that the whole sort of Daimler Truck business, that's somewhere between, what is it, 7,500 to 10,000 units roughly, give or take. So if there's 500 units less in one quarter than with the other. So, I mean, this is obviously in terms of units, it's not that much, but these are high-value engines, and that's why we see that obviously in the aggregated numbers then. But it's nothing which concerns us. So typically, it's -- the seasonality is, of course, overall for the engines portfolio. I'm specifically speaking engines, not service and not new tech and not defense and not power. So I speak for engines and typically, the third quarter is in terms of top line, a bit of a challenge due to the summer breaks in Europe, especially. But the good news is, and I mean, that's what we try also to underline that with our changes in the portfolio, more service, more power gen and so on, we're becoming less and less dependent on that seasonality in engine sales because if you look back 3, 4 years, I mean, you could immediately make the calculation engine units down, now we're in deep trouble or engine units up, it's fun, right? But -- so that's less and less relevant. So that's why I think it's important for everyone following DEUTZ that the KPI engine units sold is still an important one, but it's not a predominant one.
Operator: So then let's try again with [ Ralph ]. [Operator Instructions] So yes, [ Ralph ], can you hear us?
Unidentified Analyst: Well, I can hear you, but I'm afraid you can't hear me. So sorry, it doesn't work, but I asked the questions in the chat. So take these.
Sebastian C. Schulte: We can hear you loud and clear now.
Unidentified Analyst: Great. It's a miracle. Well, on the one hand, are there any news concerning the hydrogen business? And two more questions. How do the U.S. taxes affect your business? And what do the currency changes mean for DEUTZ?
Sebastian C. Schulte: Yes. Let me start with hydrogen and taxes and tariffs and then hand over to Oliver for currency. Hydrogen is still sort of early scale -- early stage, right? We've developed the H2 7.8 engine and being really an innovator in this field, probably one of the first to deliver an engine like that or to develop and deliver an engine like that. Demand is still on a low level. That's why we're also saying we are not doubling down on making sort of the next engine development here because one of the key findings also of our strategic realignment of the last years is that, the market demand, I mean, is super important. And we can't just say, all right, we'll have a nice product, but if no one wants to buy it, then are we still spend dozens of millions of euros to develop that. And so, we are putting here the R&D down because we've done the job. And our new tech team, in particular, is obviously working a lot with customers all around the world. We've got interest. We've got the partnership in China. We've got interest from India. We've got interest in the United States and Canada and Europe and so on and so forth. But it's still the situation that we are on sort of sometimes 1 or 2 or 3 units rather than 100 or 200 units. So that's the current status in hydrogen. I think we're a good company of a lot of other players who are not that sort of bullish on hydrogen anymore. But that doesn't mean we're giving up on that, not at all. But certainly, we need to be realistic and say that demand is not where we probably thought 3, 4, 5 years ago where it would be. On the tariffs, similar to what I said earlier when Jorge asked us on that. So we do not see a direct impact on us because the customers in the United States, they need our engines and the substitution possibility is fairly limited. I wouldn't say 0, but fairly limited and it takes time, right? So we'll find situations that we continue to deliver to them. And I mean, at the moment, quite a lot is on the ships to the United States because customers ordered, of course. So that's a good thing. I don't -- in short, I don't see a direct effect on profitability, but I do obviously still see the risk, of course, that a recovery of the demand in the United States may be a bit sort of delayed due to that situation. Having said that, that was a lot due to the fact -- due to the uncertainty. And now with the certainty 15% is not great, but at least everyone knows what the rules are now. And so, typically, certainly helps business, right? So I would say that's answering the 2 first questions and handing over to Oliver.
Oliver Neu: Yes. Thanks, [ Ralph ], for the question on the U.S. dollar development. So basically, with the current levels we see 160, 170 in the dollar, we are somewhere in the range of what has been normal in long-term historical averages. So I'm not overly concerned about that. If you look purely in our H1 figures, the U.S. dollar impact had a slightly negative impact of a low single-digit million euro amount. So nothing extraordinary here. How is it generally affecting the business? Coming from the top line, if you take the like EUR 550 million -- sorry, $550 million, approximate business we are having in the United States, clearly Blue Star is not that much affected. They buy, of course, a bit in Europe, outside the U.S., but I mean, on the supply side, not that much affected. If you take the DCA, so our [indiscernible] operations, especially the -- like 30% of the revenue, we have -- we denominate and charge the customers in euro. Another 15% of the revenue, we have like currency sharing clauses, burden sharing clauses, which work in both ways. So we work operationally with the customers to really mitigate the effect on the top line. The remaining part, of course, on the top line stays there. We are taking active hedging, hedging typically a few quarters ahead. So those are the measures we are taking. Of course, typical translation risks remain. That is the same as every international company. But with the measures mentioned, especially that a big part of the top line is denominated in euro or charged or invoiced in euro we are not seeing any special impact on the U.S. dollar level we are currently seeing. Of course, our engines when the dollar is continuously devaluating or in case it would continuously devaluate, our engines are getting a bit more expensive for the customers that are charged in euro, but they are basically the same mechanism suppliers for the tariffs, and we are not seeing any negative impact on the demand so far.
Sebastian C. Schulte: And to add, service, obviously, the service business is relevant, both top line and also bottom line, but it's also one of our growth focus in the United States. And there is obviously no dependency -- no significant dependency take out parts, but particularly on the work the technicians perform directly in the equipment, I mean, that's all local. But there's certainly an impact, as Oliver just pointed out.
Unidentified Analyst: If I may ask 1 more question, it's a short one. How many employees do you have in Germany, especially in Cologne?
Sebastian C. Schulte: Just figure out the exact number because I don't want to give a rough number now. So currently, by the end of the first half, we had in Cologne 2,689 employees to be very precise.
Oliver Neu: I have the same number.
Sebastian C. Schulte: Counting employees is sometimes a challenge, but we are well prepared for that.
Operator: [Operator Instructions] But it seems everything appears to be answered. And with that, we will come to the end of today's call. So thank you, ladies and gentlemen, for joining and additional interest in DEUTZ. And also a big thank you to you, Sebastian and Oliver, for your time for sharing the presentation with us and for answering all the questions. It was a pleasure to be your host today. And yes, have all of you a lovely Thursday. So I hand back to you, Sebastian, for some final remarks.
Sebastian C. Schulte: Yes. Thank you very much, Sarah. Thank you very much for all joining our call and for all the questions. And if we just jump on the next page briefly. So just to outline what's next on a regular basis, we will have, in a similar format or the same format, our third quarter statement call on the 6th of November. And then, obviously, 2025 annual report that's time to go a bit time, March [ 26 ]. And obviously, on everything that happens sort of out of the ordinary, we'll keep everyone posted. And as usual, we will, Oliver and myself individually and jointly be talking to investors as part of various conferences and road shows throughout the remainder of the year. Thanks for everyone. Thanks to everyone for joining us and being interested in DEUTZ and keep following us. Have a good day. Thank you.
Operator: Goodbye.